Operator: Good morning. My name is Joelle, and I will be your conference operator today. [Foreign Language] I will now introduce Mr. Mathieu Brunet, Vice President, Investor Relations and Treasury of Alimentation Couche-Tard. [Foreign Language]
Mathieu Brunet: English will follow. [Foreign Language] Good morning. I would like to welcome everyone to this web conference presenting Alimentation Couche-Tard's financial results for the second quarter of fiscal year 2026. All lines will be kept on mute to prevent any background noise. After the presentation, we will answer questions from analysts during the web conference. We would like to remind everyone that this webcast presentation will be available on our website for a 90-day period. Also, please remember that some of the issues discussed during this webcast may be forward-looking statements, which are provided by the corporation with its usual caveats. These caveats or risks and uncertainties are outlined in our financial reporting. Therefore, our future results could differ from the information discussed today. Our financial results will be presented by Mr. Alex Miller, President and Chief Executive Officer; and Mr. Filipe Da Silva, Chief Financial Officer. Alex, you may begin your conference.
Alexander Miller: Thank you, Mathieu, and good morning, everyone. Thanks for being with us today. Before we dive into the results, I'd like to flag something for your calendars. On February 11, 2026, we'll host a business strategy update where we'll walk you through the next phase of our growth journey and our vision for the future of convenience and mobility. We'll share a clear and thoughtful view of where we're headed and what it means for our customers, our network and the opportunities ahead. You'll receive a formal save the date and additional details in early December. Today's focus is very much on the solid progress we've made this quarter. It's been a little over a year since I stepped into the CEO role, and I'm genuinely proud of the way the business is performing and of the relentless focus our team is putting on winning the customer. Since the start of the fiscal year and for the second consecutive quarter, we've delivered positive same-store sales in every geography, along with steady, reliable performance in fuel. In an environment that remains challenging for many of our customers, they continue to respond to the value and convenience we're working hard to deliver, both inside our stores and on our forecourts. Our customer-focused initiatives are gaining traction, and we're seeing clear proof of that in this quarter's results, which are outperforming the industry. As we strengthen our value proposition and continue enhancing the customer experience across our network, we're also expanding our reach through disciplined organic growth. Together, these efforts are creating meaningful opportunities to welcome new customers and deepen the relationship with those we already serve. We are well on our way to reaching our goal of 500 new stores in 5 years with 29 new stores opened since May, and we are on track for more than 100 new locations in North America this fiscal year with many offering high-speed diesel to serve our B2B customers, and we continue to seize opportunities in rural communities, along with our traditional metro area sites. As of today, we have another 73 stores currently under construction, and our real estate team has 1,000 sites in the pipeline for potential future development. In Europe, our rebranding of TotalEnergies retail assets is progressing across our 4 new business units with the Circle K brand and programs now at 80 sites as of the first half of the year, and half of those sites feature the Circle K car wash offer. Our rebrand of the EV offer in mid-Europe is now complete. In my recent visits to these stores, I've been very pleased to see our team members energized, embracing our programs, executing them with excellence and engaging with our customers who are responding enthusiastically. Along with our efforts to grow and optimize our network, we are also investing in capabilities to support our stores through best-in-class inventory management solutions and supply chain optimization, which Filipe will address later. This past week, in Otsego, Minnesota, we cut the ribbon on the first of 3 new distribution centers in the U.S. that will open in the third quarter. These 3 facilities will support approximately 1,600 stores across 14 states. With these openings, combined with our existing facilities in Texas, Arizona and Quebec, approximately 3,200 stores across North America will be supported by self-distribution. It is an important milestone in our efforts to strengthen and better align our North American supply chain, enhancing speed, accuracy and product availability while enabling the broadening of product assortment. Now let's turn to our convenience business. As I mentioned earlier, we're continuing positive trends in same-store sales across our geographies for the second straight quarter, with the U.S. up 1.2%, Canada up 5.4% and Europe and other regions up 0.5%. U.S. revenues increased on solid performance in food, packaged beverage and other nicotine products. Canada's growth benefited primarily from alcohol and food. Food also contributed to the positive sales results in Europe and other regions segment. Given the challenging consumer environment, these results are especially meaningful, and we're seeing clear gains in customer traffic and share, which speaks to the strength of our offering and the compelling value and ease of our experience. We believe the disciplined focus on the customer is helping us distance ourselves from broader industry trends and continue delivering quality, sustainable growth. Looking at our food category, as consumers look for ways to stretch their dollars, our meal deals are meeting their needs with the choices and options they want at an attractive price point. Meal deals are winning with customers, thanks to effective communication across our in-store and digital platforms, along with a focus on simplicity and execution. Food penetration continues to rise, and the strong adoption of meal deals across markets further highlights the increasing contribution of food to our overall growth trajectory. In North America, same-store food growth had its best performance in well over a year, fueled by disciplined execution and the ongoing strength of our meal deals platform. This quarter, we sold over 10 million bundles up from 8.6 million in Q1, averaging over 850,000 bundles per week. I'm even more excited to share that at the very start of Q3, we surpassed the 1 million meal deals mark sold per week in North America. This milestone underscores the growing relevance of our food offering and the value we are bringing to our customers, and we're just getting started. In the months ahead, we'll continue expanding the meal deals platform, introducing greater variety and innovation, strengthening vendor partnerships and offering customers unmatched optionality. We are also seeing meaningful customer excitement and incremental sales growth from our exclusive partnership with Guy Fieri, which we announced in September. The Flavortown inspired menu rollout across the Northern Tier business unit is contributing to an increase in overall hot food weekly units alongside meaningful margin dollar contribution. We are encouraged by the customer response to this differentiated offer as we prepare for a broader North American expansion. In addition, our SKU reduction initiative launched in FY '25 continues to drive margin improvement in our U.S. business units, enabling us to focus on execution excellence and maintain reliable in-stock performance while also reducing spoilage. In Europe, food continues to be a bright spot driven by increased in sales per store. Sweden, Norway, Ireland and the Baltics were key markets with substantial growth in hot dogs, burgers, sandwiches and bakery items. Building on our success in North America, we accelerated the European rollout of meal deals last quarter with 3 well-defined offers at tiered price points to capture a broader range of customer occasions, from smaller impulse buys to full meal solutions. The early results are promising. Turning to our efforts to own thirst. U.S. packaged beverage category delivered solid performance with basket size and pricing offsetting category-wide declines in trip frequency. Energy drinks continue to lead the category with same-store sales growth in the mid-teens, supported by ongoing innovation, meal deal inclusion and exclusive vendor partnerships that are driving consumer engagement. Dispensed beverages are also seeing strong growth in the cold and frozen segments, lifted by our loyalty pricing strategies. Meanwhile, we're launching new programs to drive excitement into the hot dispensed category. Earlier this month in the U.S., we kicked off our win free Coffee for a Year Sweepstakes in partnership with International Delight creamers, inviting customers to enter for a chance to win 1 of 14 prices. We are also piloting an aggressive Inner Circle price on hot coffee to complement our highly popular any size Polar Pop offer for loyalty members. In adult beverages, we continue to see healthy beer and wine growth in Canada. While we expect growth trends in this category to normalize, these results more than offset the declines in nicotine in Canada resulting from the illicit tobacco trade and government restrictions on pouches in the convenience channel. In the U.S., our performance in nicotine is strong with mid-single-digit same-store sales growth. We've outpaced the convenience channel in cigarette sales and trips driven by market-centric pricing and affordability across premium and discount segments. Our September ZYN promotion sparked double-digit unit growth for ZYN as we distributed close to 8 million free cans. Not only did this offer increased total nicotine trips year-over-year and versus the pre-promotion period, but it also boosted the overall modern oral segment and sustained increased nicotine trips post-promotion. These results highlight our successful vendor collaboration and customer engagement as well as our ability to deliver value and maintain momentum in a complex regulatory landscape. In Europe, amidst a challenging regulatory and market environment, our nicotine business continues to outperform the broader market with other tobacco products driving year-over-year category growth while we still see some volume gains versus last year from the supermarket bans on tobacco in the Netherlands and Belgium. Looking at our loyalty programs with our launch of Inner Circle in Texas in September, we added more than 1 million new customers in Inner Circle, surpassing 12.5 million members across the U.S. as of the end of the second quarter. With the completion of our rollout in the West Coast business unit earlier this month, Inner Circle is now available at more than 5,000 sites across the U.S., and we expect enrollments to continue to accelerate in the coming months. As we bring Inner Circle to new customers across the U.S., our retention rates are sustained and healthy. More than 85% of members are active in fuel, 65% are active inside the store. We are leveraging some of our recent investments in our customer data platform and personalization capabilities to help drive repeat visits from Inner Circle members, and we are seeing existing members visit more frequently. Elsewhere in Europe, we've taken a major step forward with the rollout of our enhanced extra loyalty program, a unified visit-based model that rewards customers for every interaction, whether they fuel, charge, shop or wash their cars, the new platform delivers a more seamless personalized experience that strengthens engagement and customer loyalty across our network. Following a successful pilot in Sweden, we have now completed the expansion to Poland and the Baltics this quarter with other markets to follow. Turning to our fuel business. Same-store road transportation fuel volumes were down 0.6% in the U.S. and 1.8% in Europe, but up 1.1% in Canada. Despite these declines, overall volumes remain healthy and are outperforming industry peers, and margins are holding steady compared to previous quarters. We remain focused on unlocking additional value from our fuel supply chain across our global operations with our supply, trading and logistics teams working to expand lower-cost supply options and execute programs that deliver meaningful value to our customers, such as our seasonal Fuel Day events. Our October Fuel Day in Canada drove traffic and excitement to more than 1,100 sites across the country with savings of $0.10 per liter. In the U.S., we have tied recent Fuel Day events to Inner Circle not only providing great savings for our customers, but also driving sign-ups to the membership program and deepening customer engagement. In B2B, our European business continues to navigate a dynamic environment with mixed volume trends. Card volumes came in just below last year's levels, but this was offset by robust margin gains. Non-fuel income continues to be a strategic growth area as steady increases in B2B transit charging volumes helped counteract accelerated declines in traditional fuel and bulk fuel volumes remain healthy. While slightly lower this quarter due to price competition among resellers and a volatile biofuels market, they were offset by improved margins. We are seeing sustained growth in mobile payment adoption, up 30% versus last year, with the Baltics leading in customer onboarding and transaction volume with rollout of new digital platforms and functionalities such as self-service enrollment and instant virtual card issuance, we are gaining market share and operational savings for our customers. In the U.S., our B2B fuel share continues to grow as we build strong customer relationships, leverage the national scale and reach of our network and work to provide a reliable, seamless fueling and payment experience for drivers, focusing on direct partnerships, commercial diesel growth and strategic collaborations that have set us apart. We are seeing higher retention and increased usage among fleets of all sizes. We are also increasing Inner Circle penetration with B2B members as customers enjoy personal rewards for commercial fueling, enabling both acquisition and retention. Shifting over to e-mobility. We are building on our market leadership in Europe adding more than 230 DC ultrafast Circle K branded charge points and 33 new sites added across our European network during the second quarter. Overall, we now have close to 630 locations with Circle K branded chargers up nearly 30% versus a year ago. And our fast-charging network now consists of just under 3,900 charge points. In addition, we saw nearly 2 million charging transactions on Circle K branded chargers in Europe, an increase of 55% versus same quarter last year. As we expand the network with an emphasis on Scandinavia, we are also increasing our focus on new markets in our mid-European business, where our sites contributed more than 300,000 charging transactions. With that, I'll now turn the discussion over to Filipe, who will provide further details on our financial performance this quarter.
Filipe Da Silva: Good morning, everyone. We closed the second quarter with growing optimism, reflecting steady progress supported by consistent execution and effective cost management across our operations. Core operating expense growth remained under control, while we continue to advance our multiyear investment journey to unlock new capabilities that strengthen our network and create greater value for customers. As Alex outlined, this quarter extends the positive momentum we began in Q1, with U.S. same-store sales growing for the second consecutive quarter, reinforcing that our self-help initiatives are delivering steady measurable progress. Food remained a bright spot, continuing its upward trajectory, supported by strong in-store execution. Shrink improved further, now at its lowest level in about 9 quarters, while food service gross margin expanded by more than 400 basis points year-over-year, providing an important lever in managing inflation and supporting margin resilience. This also marked the first full quarter from GetGo, which further broadens our food and convenience offering in the U.S. and unlocks new opportunities for customer engagement. For example, just this month, we're testing a small pilot in Ohio that lets myPerks members from Giant Eagle redeem point at Circle K. It gives customers more flexibility and helps connect directly with fuel shoppers. It's still very early days, and we'll watch how it performs before looking at next steps. In Canada, performance remained robust, supported by the ongoing benefit from the alcohol legislation changes in Ontario. As we move closer to cycling last year's favorable impacts and face a more tempered retail environment, we are approaching the coming quarters with a prudent outlook with continued focus on execution and compelling food offerings. In Europe, all regions posted healthy results with broad-based category growth driven by compelling food offers and attractive meal deals, helping us to capture additional market share. In Asia, operations were temporarily disrupted by the typhoon. However, the overall financial impact was minimal and did not materially affect EPS. Turning to our TotalEnergies assets, synergy delivery remains ahead of plan. That said, we did see a modest acceleration in the Netherlands, where the prior year benefit from the supermarket tobacco ban is not fully cycled. Overall, merchandise and service gross margin expanded by approximately 140 basis points year-over-year, and fuel margin also improved by nearly 600 basis points. These results demonstrated meaningful progress in both performance and integration. I will now go over some key figures for the quarter. For more details, please refer to our MD&A available on our website. After nearly a year, net earnings attributable to shareholders of the corporation returned to positive territory in the second quarter of fiscal 2026, which stood at $741 million or $0.79 per share on a diluted basis. Excluding certain items described in more details in our MD&A, adjusted net earnings were approximately $734 million or $0.78 per share on an adjusted diluted basis, representing an increase of 5.4% compared to the corresponding quarter of last year. Now let's review in detail each of our business segments on an FX-adjusted basis. The adjusted EBITDA for the second quarter of fiscal 2026 increased by approximately $94 million or 6.2% compared with the corresponding quarter of fiscal 2025, mainly due to the contribution from acquisitions, which amounted to approximately $75 million, improved merchandise and service and road transportation fuel gross margin as well as organic growth in our convenience activities, partly offset by the impact of the regulatory divestiture related to the GetGo acquisition, which amounted to approximately $8 million. During the second quarter, merchandise and service revenues increased by approximately $254 million or 5.8%, primarily attributable to the contribution from acquisitions which amounted to approximately $163 million in organic growth, partly offset by the impact of regulatory divestiture related to the GetGo acquisition, which amounted to approximately $20 million. Merchandise and service gross profit increased by approximately $126 million or 8.3%. This is primarily attributable to the contribution from acquisition, which amounted to approximately $56 million by organic growth as well as by improved merchandise and service gross margin in the United States partly offset by the impact of regulatory divestiture related to the GetGo acquisition, which amounted to approximately $7 million. In a context where we are delivering increasing value to our customers across all regions, I am happy to report that our gross margin expanded this quarter. In the United States, our merchandise and service gross margin increased by 0.9% to 34.7%, favorably impacted by the Zyntember promotion as well as by strong food execution. On the food side, the margin lift also reflect a significant reduction in shrink of more than 400 basis points alongside our 2025 rationalization efforts, ensuring that our promotions and assortment are relevant to our customers. In Europe and other regions, our merchandise and gross margin increased by 0.7% to 38.9%, mostly driven by a favorable mix -- product mix from lower tobacco revenues and e-mobility continued momentum in Scandinavia. In Canada, our merchandise and service gross margin increased by 0.6% to 34.2%, driven by a favorable change in product mix from cigarette revenues. Moving on to the fuel side of our business. Our road transportation fuel gas margin was $0.4586 per gallon in the United States, a modest decline of $0.0024, but overall consistent with previous quarters. In Canada, margin averaged an impressive CAD 0.1507 per liter, an increase of CAD 0.0172. Fuel margins remained healthy across the network, supported by ongoing supply chain optimization and strong in-store effectiveness. We're also advancing our data-driven approach to pricing and promotions, helping us stay agile and competitive in a dynamic retail environment. In Europe and other regions, our road transportation fuel gross profit was USD 0.1151 per liter, an increase of USD 0.01, driven by favorable foreign exchange translation and effective supply chain management, partly offset by the impact of lapping a onetime gain from a prior year fuel supply agreement adjustment. Turning to SG&A. Normalized expenses increased by 3.4% year-over-year in the second quarter of fiscal 2026 driven by disciplined core operating costs and targeted investments. Roughly 2/3 of the increase came from our core operating expenses, which continue to be managed effectively and remain on pace with average inflation across our regions, supported by our fit-to-serve. This also reflects targeted effort to scale our food service offering with resources directed towards enhancing capabilities at the store level. The remaining 1/3 reflects planned investment in technology and operational capabilities to support long-term growth and enhance the customer experience. I would like to emphasize that year-to-date, our normalized expense growth remains in line with inflation, aligned with our focus on cost discipline and maximizing operational leverage. I'm pleased to report that we exceeded our fit-to-serve target of $800 million ahead of schedule. This achievement reflects the collective commitment of our teams to deliver real measurable improvement. It's an important milestone that strengthens our ability to reinvest with purpose while maintaining disciplined expense control. Moving on, we continue to see gains in more workforce productivity. In the U.S., overtime wages remain below 3% for the 23rd straight month and below 2.5% for the 12th consecutive month, landing at 2.1% in Q2 versus 2.7% last year. These results speak to the effectiveness of handheld devices, smarter labor scheduling and automation tools that are translating into more impactful customer-facing hours. We are also capturing incremental savings through our centralized procurement efforts for goods not for resale, further leveraging our global scale to reduce cost and drive efficiency. Turning to strategic investment. We continue to advance our digital capabilities and operational tools to position the company for long-term growth. A key focus this quarter has been the North American pilot of our RELEX ordering and space planning platform now underway across 6 locations in 4 business units. Fuel scale deployment remains on track for the first half of calendar 2026. Early results are promising, with notable gain in product availability and inventory accuracy. As we scale, RELEX is expected to further reduce spoilage and also inventory efficiency, support margin resilience and strengthen vendor collaboration, all while streamlining in-store operation by simplifying ordering and optimizing shelf layouts. Beyond RELEX, we are making solid progress on other elements of our digital road map. Our upgraded handheld devices and labor scheduler are now embedded in more locations, continuing to streamline operations and improve team productivity. We're also seeing early promise from our AI task management pilot, helping store manager quickly translate data into clear, actionable insights. These investments are sharpening execution at the store level and helping deliver a more seamless and personalized customer experience. Turning over to depreciation and amortization expenses increased by approximately $59 million or 12.6% year-over-year, including the GetGo assets, which amounted to approximately $23 million, along with equipment upgrades, store remodel program, new store openings, technology enhancement and EV charger deployment. This initiative represents significant strategic investment made in recent quarters. From a tax perspective, the income tax rate for the second quarter of fiscal 2026 was 22.8% compared with 23.4% for the corresponding quarter of fiscal 2025. The decrease is mainly stemming from the impact of a different mix in our earnings across the various jurisdictions in which we operate. As of October 12, 2025, we recorded a return on equity at 17.7%, and our return on capital employed stood at 11.9%. During the fiscal year, our leverage ratio stood at 2.21. We also had strong balance sheet ability with $2 billion in cash and an additional $3 billion available through our revolving unsecured operating credit facility. During the quarter, we issued Canadian dollar denominated and U.S. dollar denominated senior unsecured notes totaling CAD 500 million and USD 1.2 billion, respectively. The $1.6 billion net proceeds from the issuance were used to repay indebtedness under our United States commercial paper program. Additionally, we repurchased 16.6 million shares for an amount of nearly $900 million through the buyback program, while for the first half of the year, we invested close to $900 million in capital expenditure, reinforcing our balanced approach to capital allocation. Subsequent to the end of the quarter, 6.1 million shares were repurchased for an amount of approximately $306 million. Turning to the dividend. The Board of Directors declared yesterday a quarterly dividend of CAD 0.215 per share, an increase of 10.3% for the second quarter of fiscal 2026 to shareholders on record as at December 3, 2025, and approved its payment effective December 17, 2025. In closing, our second quarter results reinforced the resilience of our business model and the operational excellence of our teams. We are encouraged by the continued top line momentum across key categories, particularly in food, packed beverage and fuel as well as by our progress in loyalty, underscoring the advancement of our customer initiatives. Looking ahead, we remain committed to delivering earnings growth over the course of the year by maintaining our cost discipline, thanks to fit-to-serve initiatives and by enhancing our gross margin profile through continued progress on shrink and spoilage food growth and vendor-funded promotions. We are also deploying capital with purpose, investing in tools that optimize execution and elevate the customer experience to support long-term value creation and deliver best-in-class returns. I thank you all for your attention. I will turn the call over again to our President and CEO, Alex Miller.
Alexander Miller: Thank you, Filipe. As we move forward, our priority remains clear, delivering meaningful value for our customers and making every visit to our stores and forecourts easy and enjoyable. We're strengthening our execution, making better use of our scale and sharpening our operations, so our sites consistently have what customers need. We're also elevating the loyalty experience in ways that make it more personal and more engaging, helping customers come back more often. I'm proud of the work our teams are doing across the network and the progress we're making together. As we move into the back half of the year, we're well positioned to keep serving customers reliably and to be the stop they trust most when they're on the go. On that note, let's turn it over to the operator to answer analyst questions.
Operator: [Operator Instructions] Your first question comes from Martin Landry with Stifel.
Martin Landry: I want to touch on your U.S. merchandise margins. They have expanded nicely on a year-over-year basis in the last 2 quarters. And they've reached levels that are near the highest in the last 10 years. And you seem to have good margin drivers. You've talked about white nicotine. You've talked about food, energy drink, vertical integration of your distribution and then even SKU reduction. But -- so I'm trying to understand a little bit where are we in that journey for your merchandise margin in the U.S. How much more upside do you see there? And if you can talk a little bit about what is left in terms of drivers to get these levels higher?
Alexander Miller: Yes. Thank you for the question. I'm pleased with the 90 bps improvement year-on-year for the quarter. I think the -- for this quarter specifically, about 38 of the bps came from white nic and our ZYN promotion. We continue to improve shrink, as Filipe talked about, that's contributing nice to our ongoing margin improvement. I think I've talked in past quarters about our improvements around promotions and our ability to analyze promotions and our data capability, doing less promotions but doing promotions that really add value to consumers and drive traffic and present real value to them. We talked about the ongoing new distribution centers. We just opened one. I was -- last week, I was in Minnesota and saw our new facility. These facilities are going to improve our COGS as we go forward. They're going to help us service our stores better when our stores really want and need to be serviced for the less lease disruption. So we -- and then lastly is food, right? I mean we continue to grow food. Our food, we grow in the U.S., we improved food by 480 bps quarter on -- versus last year in the same quarter, and we believe we will continue to do these things. So we're executing quite well against the items we're very focused and feel good about the direction of our margin gains, really not just in the U.S., in all 3 of our big geographies.
Filipe Da Silva: Yes. And just to complement, Alex. So I think also, Martin, as we are integrating more the supply chain, we'll have the possibility also to get more control on the negotiation with suppliers. And we believe that there is also a nice potential upside there. Of course, we need to continue to reinvest in value, as mentioned by Alex, many times this morning. But yes, overall, the profile of the gross profit, we feel good about the prospect and what we can continue to build in this aspect.
Operator: Your next question comes from Irene Nattel with RBC Capital Markets.
Irene Nattel: Can you talk about the cadence of same-store sales improvements as you went through Q2 and where you're tracking Q3 to date, please?
Alexander Miller: Yes. Thanks, Irene. The quarter was pretty consistent. We continue to see pretty big variations across the United States. So an example would be our Midwest business unit, which is Iowa, Illinois and Indiana for the quarter. Same-store sales were up 5.3%. Same-store volume was up 2.3%. And we can send -- and that's offset by challenge along our Southern states. And the Midwest BU at 7% of our merch sales. Texas and Arizona specifically remain challenged. They were slightly negative in the quarter. And those 2 areas are 23% of our merch sales. So we continue to see those kind of large differences across the United States. With that said, our teams in Texas and Arizona are performing very well from a market context and taking considerable share, and so then as we look forward, we did see a slight softening due to the government shutdown. And specifically, we believe the SNAP or EBT benefits, just slight softening for a couple, 3 weeks. Since the government has reopened and those programs are back, we've kind of pivoted back to really consistently where we've been this past quarter, Irene.
Irene Nattel: So then do you think this sort of 1% to 1.5% level, Alex, should be sustainable through the balance of the year? And then, I guess, how do you accelerate it from there?
Alexander Miller: We're going to -- we're feeling good. We've had several weeks and periods of success and seeing our business strengthening. And again, it's -- I'm never going to try and predict the future, Irene, but I feel really good about the activities of the team, the focus of the team. Our operating metrics are just extremely sound. Our food numbers continue to grow, and we're continuing to see that as we're into P3, our execution against those programs, our production availability. Our zero, zero for heroes, the products we sell the most, we have them in stock on the shelves, the proliferation of our meal deals really in all 3 of our geographies, consumers continue to really respond to those programs. And as I mentioned, we passed 1 million for a couple of weeks ago, which was a huge benchmark for all of us here, and we're celebrating that. Our digital platforms continue to grow. We added 1 million members in the quarter. Our visits were 6.6 versus 6.1. we grew traffic by 7%. So the areas we're focused on, Irene, we're gaining momentum, and they're working. And other nic and energy -- other nicotine, specifically white nicotine and energy, our execution, our vendor relationships and partnerships, we feel like we're clearly winning in those spaces, and we will continue to lay into those spaces. So I remain -- I'm cautiously and positively optimistic as we go forward, Irene.
Operator: Your next question comes from Chris Li with [ Desjardins. ]
Christopher Li: Sorry, can I just -- maybe a quick follow-up to Irene's question. So for Q3 to date in U.S. merchandise comps, Alex, is it trending more or less in line with what you achieved in Q2?
Alexander Miller: Yes. P7, we softened just a bit. And again, we're pretty sure that was the government shutdown and EBT and SNAP, not a lot. We softened a bit. But as we've gone into P8, the last 2 weeks and the government reopened in those programs, we've converted right back to the trends we were seeing and really see acceleration in those programs that we saw before.
Christopher Li: Okay. That's helpful. And then, sorry, my main question is just maybe on the SG&A growth rate. It did sort of accelerate in Q2. And I wanted to ask, for the second half of the year, how should we think about the normalized growth rate?
Filipe Da Silva: Thanks, Chris, for the question. I think we feel good about the SG&A. Year-to-date, we are in line with the inflation, and I think we need to realize how much transformation we are doing in this company and investing for the long term. We have been talking a lot about supply chain, digital capabilities, RELEX. All these [ we mentioned ] that are really there to make us a better company. And we are doing all that, again, being able to match inflation. So it means that there is a lot going, and I have to recognize the hard work done by the team there, just to find ways to be more productive. So just on the quarter, we have been very disciplined in terms of labor hours being down in hours by 0.8% compared to last year across the regions, a lot going on from the procurement side. So Chris, I think we are -- yes, we are very confident by the plan. As I mentioned earlier in the call, we already reached the ambition that we had on the 5-year plan regarding fit-to-serve. There is more there. So when you look at the full year, yes, that's -- our ambition is to continue to be kind of in line with inflation. And at the same time, making sure that we do the right thing for the business and investing for the future. We have a lot to do there. But again, confident that we'll keep our discipline in cost. That's what we have been in the past and we will continue to be, Chris.
Operator: Your next question comes from Michael Van Aelst with TD Cowen.
Michael Van Aelst: So in your OpEx discussion, it did pop up in terms of your normalized operating growth from Q1 to Q2. And I think you mentioned for the first time you segregate a comment about investments to accelerate growth in food service. So can you explain to us what these investments are? And should this drive -- is this something you expect to drive same-store sales in the U.S. north of 2% eventually?
Filipe Da Silva: I can take maybe on the expense side. So yes, we are investing, for example, in U.S. We are investing on the digital capabilities, helping to get a better forecasting. So we are investing on that. We are partnering there to get a tool. And that really makes a big difference, making sure that we have the food at the right time when the customer needs it and the employee knows when to put that in the shelf. So there has been a lot of investment there. And also, we are investing in -- on additional shifts from a labor standpoint to make sure that food is there when it's needed. So again, here, when you look at the overall labor hours, we have reduced the number of hours versus last year, reducing from an administrative point of view, the hours used in stores, but redirecting that to customer-facing activities and part of it is food. So we'll continue to do that because that's the right thing to do for the business. So feeling confident that, again, looking at the overall expense profile, we will continue to invest in food for sure. But having in mind that we want to be in line with inflation as a whole in expense. So looking for productivity in other parts of the business. Alex, do you like to take the...
Alexander Miller: Yes. I can just build -- yes, build on that a little bit. I think that some onetime investments in food around production availability and the rollout of a specific program, I view those as onetime investments. We absolutely see food growing, and you see it in our results. And food, like anything, it's driving increased transactions and increased transactions are good. We continue to grow that percentage. And I think as I've shared with you previously, our goal is to get to 20% penetration in North America, and we believe we can do that, and we have a long runway to do that. I think from a cost perspective at the operating level, the last year has been absolutely focused on operations and back to our core, and our operating metrics are as good as I have ever seen them. Our turnover levels, our retention levels are -- just continue to improve. We referenced our overtime percentage, our labor hour compliance, our scheduling compliance, our shrink continues to go down. So the focus on our core -- at our core, we are operators, we are focused on operations, providing the tools at our stores and to our customers to be successful, and it's resonating. And part of that core culture of ours is controlling cost. We are doing that at the operating level and offsetting these strategic investments. And we will very much aim to continue to do that.
Michael Van Aelst: Okay. And just to clarify, the meal deals, is that available throughout the U.S. network now?
Alexander Miller: Absolutely, it is. It's not just the U.S. network, it is available across our entire footprint now. We are growing them in Canada. We've launched them in Europe and feel pretty strongly. We're already hitting levels close to our U.S. levels in Europe, where our food penetration is higher. It's really one of the most exciting things when I'm out with our teams in stores, just hearing it resonate with customers and hearing our store teams talk about how customers relate to the value that we can provide. So we will continue to lay into meal deals. We think we've really found something here that is really resonating with consumers and consumers that are strapped for cash.
Operator: Your next question comes from Mark Petrie with CIBC.
Mark Petrie: Hoping to just go deeper on some of your comments with regards to U.S. same-store sales, specifically the regional performance. Could you talk more about the drivers there? Is that just a matter of traffic? Or are there other factors like loyalty penetration, category mix, food, et cetera? And then if you could also just expand on the market share comment. Are you taking more share in those slower-growth regions? Or would you say it's more generally consistent across regions?
Alexander Miller: Yes. I don't think -- I think our execution level continues really to improve across the company. I think it's more of a macro dynamic that's happening in the United States. The Texas and Arizona traditionally have been big growth states and big growth areas. We are very happy with our positions in these southern geographies. We absolutely believe this to be transitory. But we are seeing fairly significant differences in the Southern states versus our Midwest states currently. We think that will ultimately normalize as we go forward. And again, we're very happy to have those positions. It's not -- our loyalty penetration, it differs by business unit, but they're -- it's growing everywhere. Our execution on food differ slightly, but it's growing everywhere. And again, I'm just really proud of the teams. We've been very focused. We're executing against programs, and we're taking market share not in every business unit. But clearly, in total, we are. And in most business units, we are taking share in merch and in fuel.
Mark Petrie: Okay. And sorry, just to clarify, when you talk about the slower growth in Arizona and Texas, for instance, is that mostly in traffic? Or does that show up in basket size as well?
Alexander Miller: Sorry, I didn't catch the last bit of your question there?
Mark Petrie: When you talk about the slower same-store sales growth in some of your regions like Arizona and Texas, is that mostly just in slower traffic versus like the Midwest? Or is it also in basket? Or how does that show up?
Alexander Miller: Yes. I think traffic is a little more challenged in those geographies. We're growing basket in pretty much every business unit. So it generally is traffic driven, yes.
Operator: Your next question comes from Bobby Griffin with Raymond James.
Robert Griffin: Congrats on the performance. Alex, I just -- I want to double-click into the food category as a whole, given some of the success here with the sales as well as the margin improvement? Ultimately, where is that category as we stand today from its full margin potential? Is there still hundreds of basis points left? Or is it getting close to something you would say is running from a margin side of things, best-in-class or up to where you would like it to be at?
Alexander Miller: So where we sit today, we are laser-focused on growing sales and continuing to grow sales. Our spoilage rates in our food category is about where we want them now. And obviously, we've improved 400 to 500 basis points versus previous year. So our spoilage rates are about where they want them. We are really focused on growing sales. As we go forward and as we grow sales and as we continue to improve our supply chain, we absolutely believe there is future margin expansion as we continue on this journey.
Operator: Your next question comes from Vishal Shreedhar with National Bank.
Vishal Shreedhar: Alex, as it relates to food, Couche-Tard has been on a journey for food for, call it, more than a decade and sometimes the initiatives didn't necessarily come through as investors might have anticipated. So as you look at the -- your food programs right now and you've expressed confidence, what gives you more certainty that this confidence will be realized in actual performance and hitting your targets at this time?
Alexander Miller: Yes. Thanks for the question. I do have a great deal of confidence, and I think we've talked to you about it, we needed to reset. So we rationalized our SKUs. We really focused on the underlying processes and programs on the products, the taste of the products, what was resonating with consumers, and we've largely finished that reset. And you're seeing it in our results. You're seeing the growth in both traffic and sales and margin improvement, and we are now poised for significant growth. Our production availability, our operating execution continues to improve, and we are reaching levels that we believe are very solid going forward. We've talked about our meal deals and the unique nature of us to be able to really offer value and to bundle products that are unique to QSRs. And candidly, we see a lot of people perhaps copying us or taking that. So we think we might be on to something there. But I've never had this much confidence in our journey in food. This organization, we are operators, when we get focused on things, we execute pretty well. I hope that doesn't sound arrogant. But our teams are focused on food. We are executing every period, every quarter at an improved level, and I think we're in for some really strong growth as we look at the quarters ahead across our footprint.
Vishal Shreedhar: Okay. And could you just update us on the acquisition backdrop, maybe what you're seeing?
Alexander Miller: Yes. Thank you. Very active. We are active with files in all 3 of our large geographies in Canada and Europe and in the United States, both smaller and larger files out there today. We're engaged, and we continue to see quite a bit of deal flow. And I think we'll be able, as we have done historically, to continue to execute on M&A inside of our financial framework and at multiples and return levels that we have consistently delivered on, I think, in our 46-year history. So it remains very active. And hopefully, we'll be able to announce to you in the coming quarters that we've gotten some stuff done.
Operator: Your next question comes from Luke Hannan with Canaccord.
Luke Hannan: I wanted to go back to the discussion on meal deals. Alex, you talked about expanding that platform in the coming months. And I'm curious to know, what does that look like? Is that more availability of certain deals, let's say, within the existing price points? Do you anticipate there being an expansion of the price points available? And then maybe also sort of as a follow-up to that, introducing more complexity and SKUs naturally might also get to a point where similar in the past Couche-Tard has run into issues when it comes to spoilage, how do you make sure that you put the guardrails in place to ensure that you don't introduce too much complexity as part of expanding the meal deals platform?
Alexander Miller: Yes. I think when we think about meal deals, first and foremost, it's about value. So the value element is resonating with consumers who are increasingly stretched. And through our vendor partnerships, our procurement capabilities, we're able to offer these meal deals at margin profiles that work for us and that work for our partners. So as we look to the future, we will continue to offer value. We will continue to keep it simple and straightforward in what we are offering, and we will leverage down even harder with our vendor partners to give the products that our consumers want. The energy sector is growing rapidly, continues to grow rapidly across all 3 of our geographies. We have great relationships. Consumers look to us for those products. So continuing to make those various drink products with our best-selling food items at value will be our focus as we look to the future.
Operator: Your next question comes from John Zamparo with Scotiabank.
John Zamparo: I'm wondering if you could add a bit more color on the Flavortown initiative? I know it's quite early, but can you say what level of growth you're seeing at those stores? And is there anything you can say to give a sense of how incremental this is and what impact it has on margins? And then lastly, can you remind us on the pace of that rollout, you've said national within a year, but I'm wondering when this will hit most of the U.S.?
Alexander Miller: Yes. Thanks for the question. This is a great example of making sure we stay disciplined on SKUs. So we added 11 Flavortown items in our Northern Tier business unit. We stopped selling 12 other items as part of that. We've reached about 65% to 70% of our goal of unit growth from those items. And I think more importantly, it is serving to grow hot food in Northern Tier, and we are growing hot food in Northern Tier as a result of Flavortown. We're still working through some supply chain elements for the 10 states we're serving. We're still working with the Flavortown team around the various products and what -- how consumers are responding to those. But we feel good about where we're at this far into the journey, and we continue to see a strong likelihood that we will expand across the U.S. We've got a little bit more work to do. And probably we'll be able to update you more next quarter, I think, on where we're at on that and what the expansion plan will be.
Operator: Your next question comes from Bonnie Herzog with Goldman Sachs.
Bonnie Herzog: Alex, I wanted to ask a high level strategic question. You talked through a lot of your key initiatives this morning to accelerate growth and expand margins. So hoping you could give us a sense of the top maybe 1 or 2 initiatives that you believe will have the greatest positive impact on your business in the next, I don't know, 2-plus quarters. And then maybe drill down a little further on how impactful you expect these initiatives to be on your top and bottom lines? And then also, where do you see the biggest risk to your business in the next couple of plus quarters?
Alexander Miller: Thanks for the question, Bonnie. Our focus remains right where it's been. First and foremost, operations, execution, operating metrics, serving our customers, the equipment in our stores work friendly, customer ready. So that has been our focus the last year, and I'm really proud of the improvement. I have talked with you at length about food and the journey and meal deals, it remains right there. Growing our digital platforms is absolutely and increasingly personalizing our platforms. We are seeing just uptake in our programs, increased visits, increased basket. We're going to layer down into these programs and feel really good about those. We have some tailwinds, right? The energy sector is great. We have some mix tailwinds. We've talked a lot about other nicotine and white nicotine specifically. Nicotine was positive in both Europe and the U.S. for this quarter. And we continue to see that transition, and our relationship with the vendors in these spaces and just how we work with them strategically, we feel really good about. So Bonnie, it's going to be more of the same. We're going to lay into those things. I guess the greatest risk, I feel strongly about our teams and our culture and how we're executing and the momentum we have. I continue to see us widen our gaps versus our data that we see from various markets. It's the underlying environment and how the consumer is doing and just -- that is obviously impossible for me to predict. And that's -- I don't spend a ton of time worrying about that because it's not something I can control. We're focused on the things we can control. And we feel good about the momentum we have.
Operator: [Operator Instructions] Your next question comes from Mark Carden with UBS.
Mark Carden: So you guys talked about opening the 3 new DCs to bring in some more self-distribution. How long would you expect the ramp to take at those locations? And then to what degree could you see yourself ultimately using self-distribution across even more of your footprint?
Alexander Miller: Yes. Thanks for the question. Our focus will -- we opened our one in Minnesota. It was great to go visit, and then we'll open our one in St. Louis and Columbus in the coming couple of months. And our focus for the first couple of 3 months is really just servicing our stores, making sure that we're getting the products to our stores in a timely way when we're supposed to. I think after those first couple of 3 months, we will then start to optimize around when we deliver to stores. We're obviously starting conversations and different things with vendors and our partners around products. We will continue to look to expand assortment and enable additional local assortment through these DCs. And for us, I think I've spoken previously, we will go into our food supply chain as well. We believe the path of going into our supply chain on the merchant food side, we see a lot of incremental value both in the assortment we can carry, our underlying cost of goods, simplifying how we serve our stores and serving them when it makes sense for them and for our customers. So this is not a near-term thing for us. This is -- we've been planning this for a long time. It's great to get this first one open, and this will be a journey for us over the coming years.
Operator: There are no further questions at this time. I will now turn the call over to management for closing remarks.
Mathieu Brunet: Thank you, Alex and Filipe. That covers all the questions for today's call. Thank you all for joining us, and we wish you a great day and look forward to discussing our third quarter 2026 results in March. [Foreign Language]
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.